Operator: Ladies and gentlemen, greetings and welcome to the Brightcove Fourth Quarter 2017 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Brian Denyeau. Thank you, you may begin.
Brian Denyeau: Good afternoon, and welcome to Brightcove's fourth quarter and full year 2017 earnings call. Today, we will be discussing the results announced in our press release issued after market close today. With me on the call are Andrew Feinberg, Brightcove's Acting Chief Executive Officer; and Kevin Rhodes, Brightcove's Chief Financial Officer. During the call, we will make statements related to our business that may be considered forward-looking and are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995, including statements concerning our financial guidance for the first fiscal quarter of 2018, and the full year 2018, expected profitability and positive free cash flow, our position to execute on our go-to-market and growth strategy, our ability to expand our leadership position, our ability to maintain and up-sell existing customers and our ability to acquire new customers. Forward-looking statements may often be identified with the words such as we expect, we anticipate, upcoming or similar indications of future expectations. These statements reflect our views only as of today and should not be reflected upon us as representing our views as of any subsequent date. These statements are subject to a variety of risks and uncertainties that could cause actual results to differ materially from expectations. For a discussion of material risks and other important factors that could affect our actual results, please refer to those contained in the most recently filed annual report on Form 10-K and as updated by our other SEC filings. Also, during the course of today's call, we will refer to certain non-GAAP financial measures. There is a reconciliation schedule showing GAAP versus non-GAAP results currently available in our press release issued after market close today, which can be found on our website at www.brightcove.com. In terms of the agenda for today's call, Andy will provide a summary review of our financial results and market opportunity, as well as an update on our operations. Kevin will then finish with additional details regarding our fourth quarter 2017 results, as well as our guidance for the first quarter and full year 2018. With that, let me turn the call over to Andy.
Andrew Feinberg : Thank you, Brian, and thanks to all of you for joining us today. I am excited to report that we delivered a strong finish to 2017. Our fourth quarter financial results exceeded our expectations. We have made significant progress on our strategic priorities, and we are well positioned to deliver improved growth in 2018 and to exit the year at a double-digit year-over-year revenue growth rate. Taking a quick look at our strong fourth quarter financial results. We delivered fourth quarter revenue of $40.1 million, which exceeded the high end of our guidance range. We delivered positive adjusted EBITDA of $2.3 million, which was well above our guidance range even after adjusting for some onetime benefits in the quarter, which Kevin will detail later. We generated $4.2 million of positive free cash flow in the fourth quarter. We signed exciting new logo up-sell and renewal agreements with such notable brands and content providers as Adobe, AMC Entertainment, Burberry, Discover, Franklin Templeton Investments, Hudson's Bay, Hugo Boss, Le Figaro, McKesson, Schlumberger, Sky NewsAustralia, Starwood Hotels, Subway, Trinity Mirror and Yahoo Japan Corporation, among others. From a bookings perspective, overall, we had a very good fourth quarter, and I am pleased with how our sales organization performed. For the year, we achieved double-digit annual bookings growth. Although this fell modestly short of the mid-to high-teens ACV bookings growth target that we had set at the start of the year, I'm very pleased with the sales team's performance and what we achieved during the year and in the fourth quarter especially. We would have been within our targeted range if we had closed the seven-figure deal, which we received a verbal commitment from the customer, but is taking longer to get through their deal execution process than expected. In addition, during the year, we made an intentional choice to incent our sales team to sign multiyear deals. This incentive is working. We signed 59 multiyear deals in the fourth quarter alone. By doing so, we have increased our strategic importance with these customers, we are able to better plan and align on product road map, ensure healthier account management relationships and lock in multiple years of committed revenue, reducing annual renewal risk and reducing or eliminating, altogether, market and competitive risk until the final year of the contract. Many of our deals also include price escalators in the subsequent committed years of these contracts. We also signed, in Q4, increasing new opportunities across geographies in used cases. And when we look at the state and quality of our pipeline and the productivity of our recent sales hires, we're very encouraged by what we see. Retention rate is also a significant driver of future revenue growth, and we expect that it will become a tailwind in the second half of the coming year as we lap the impact of the commodity pricing reset in our media business. As Kevin will describe, we remain on track with the guidance we have provided for the timing and impact of our media pricing reset and its impact on retention rates. All-in-all, we are confident that our sales momentum and improving retention will drive consistent double-digit revenue growth over time. We enter 2018 with strong market momentum, the best product portfolio in the history of the company and a better organized, better managed and more effective sales and marketing organization. I am pleased with how the team is performing. And I believe, we will do even better in 2018. I would like to share some additional specific reasons why I'm so optimistic about the business. First, in the media market, we have reached a critical referenceable mass of large OTT and SVOD offerings. You've heard us talk about a number of significant rollouts in Japan and Asia-Pacific during 2017. These deployments are going very well. Several of these customers have already increased substantially their investment with us to expand their offerings. And as we head into 2018, they are looking to spend even more with us. We are seeing that success begets success in this market. And we are focused in 2018 on leveraging what we've done in Japan and Asia-Pacific around the world. These efforts will include the best practices that we've learned in utilizing our professional services team and industry experts to engage with customers early in the process in their OTT plan design. Combining this approach with our market-leading and scalable platform offerings, provides a highly differentiated go-to-market model. We see a rapidly growing pipeline of OTT and SVOD opportunities, and we feel good about our ability to win these customers. Second, we have made very meaningful improvements to our sales organization. As I discussed on our last earnings call, we have completed a thorough review of our entire sales team, which has led to improved and better aligned processes across the company, as well as changes to existing personnel and the hiring of new reps. This continues to be an ongoing process, but I believe we enter 2018 with a much stronger, better aligned, more productive sales organization that is clear on how we want to go to market and how we differentiate ourselves. Let me share a couple of the highlights about our revitalized sales organizations. In Q4, as we told you before, we relocated our Head of Sales from the Asia region to run the North American media sales team. Although we are in early days with this change, so far this transition has gone very well. His first priorities had been to revamp how we identify and source prospective customers and develop opportunities with existing customers and to ensure that we are going to market with the more strategic consultative solution-based approach. We know this methodology works. And we are seeing positive early signs in this important market. He has also revamped the structure and certain personnel within the team. And we are very pleased with the moves he has made. The very strong Asia sales organization that he had left behind has not missed a beat. Our North American digital marketing and enterprise sales organization is hitting its stride and, in particular, had significant success in the fourth quarter in growing the new logo side of the business. We are becoming more efficient in managing leaves and converting them into sales. We've better marketing attribution analysis, stronger insight into our sales funnel and a more tenured and stronger sales organization there as well. Our EMEA sales organization also performed well in the fourth quarter, and we are now seeing dividends from the organizational moves that we made during 2016 and 2017. A third reason that I'm very confident heading into 2018 is that the new product innovation that we introduced in 2017 and the features and functionality scheduled to be delivered in the first half of 2018 have received very positive feedback from customers. We are seeing exciting and positive trends in the market as customers increasingly look to leverage video to drive new revenue opportunities and enhance customer and employee experiences. This is a sweet spot for Brightcove as our expanded product portfolio positions us well to take advantage of these market trends and increase the strategic value we deliver for customers every day. For example, our new Enterprise Video Suite brings together a collection of internal communication tools that enterprises can use to engage, to train and to interact with their employees. As millennials become a growing part of the workforce, enterprises need new tools that resonate and engage with this demographic. And as we all see every day, that is taking the form of video. With Brightcove EVS, enterprises can easily deploy video in a secure and efficient way as a core part of employee training, onboarding, compliance testing, group meetings and other forms of communication. We're seeing strong customer demand for Brightcove EVS, which represents our biggest push to date in the internal enterprise communications market. A great example of the opportunity for Brightcove EVS is our win this quarter with Subway, the world's second-largest fast-food restaurant. Subway chose Brightcove Enterprise Video Suite to deploy internal training to reinforce brand standards and to improve their internal communications for their employees and franchise owners around the world. Subway chose Brightcove after a competitive sales process. We were successful due to the power and scalability of our platform, our reputation in the marketplace and our high-quality integration with Sitecore. As another example of demand for our expanding product portfolio, our new Live offering is also seeing very significant customer interest, which we expect will only grow with an updated release of that product scheduled for the first half of 2018. Compelling live content is proving to be one of the most effective ways to engage consumers and to attract attention in an increasingly crowded and diverse entertainment market. Customers are looking for solutions that are easy to use, highly scalable, reliable and cost-effective. These are the core tenants of Brightcove Live offering. Yahoo Japan Corporation is a great example of a long-standing Brightcove customer, which, in Q4, substantially grew its relationship with Brightcove by choosing Brightcove Live for its high-scale news programming and for other live content to be displayed on Yahoo! News. An exciting industry recognition of our product leadership and success in the video market is Brightcove's inclusion just this past week in Fast Company's list of the Top 10 Most Innovative Companies in video for 2018. This is a tribute to our whole team, of which I'm very proud, and is also a testament to our heritage as an innovation and productive-driven company. Innovation is and has always been at the core of our DNA. A fourth reason why I am confident heading into 2018 is that, as excited as I am about our successes in the field and in continuing to develop market-leading products, I am equally pleased with the commitment that I've seen across the company in ensuring that we execute and operate efficiently and profitably. We've instilled across the company a more rigorous process to identify and to decide upon investment opportunities. As demonstrated by our fourth quarter results and indeed by our second half results, we are laser-focused on achieving the financial targets that we set for ourselves and for our investors. As Kevin will review later, we will return to full year adjusted EBITDA profitability and to positive free cash flow in 2018, which is an important first step. We will continue our focus in this regard throughout the year. We have already commenced a detailed review of our cost structure to seek opportunities to drive future margin expansion, including, but not limited to, looking at ways to drive increased efficiencies from our infrastructure as we grow. Our senior executives from our products, engineering, and finance organizations are all deeply involved in this process. We will also continue to look for ways to drive efficiencies across our operating expense structure in our organization so that we can increase operating leverage, while still driving accelerating product innovation and improved sales growth. I want to be clear that, along with accelerating growth, enhancing our margin profile is a top strategic priority for the company. In summary, Brightcove ended 2017 with strong financial and operating results. We believe we've positioned the company for accelerating top line growth and profitability in 2018 and beyond. We are committed to executing on our strategy for the year and for delivering value for our customers and shareholders. We are confident that our investments in our products and go-to-market teams will enable Brightcove to build upon our market leadership position. With that, let me turn the call over to Kevin to walk you through the numbers. Kevin?
Kevin Rhodes : Thank you, Andy, and good afternoon, everyone. As Andy mentioned, we delivered a strong close to 2017, and we are setting up well for 2018. I'll begin with a detailed review of our fourth quarter and full year results, and then I will finish with our outlook for the first quarter and full year 2018. Total revenue in the fourth quarter was $40.1 million, $300,000 above the high end of our guidance range. Breaking revenue down further, subscription and support revenue was $36.9 million, which was up from $36.1 million in the year-ago period. Professional services revenue was $3.2 million in the quarter and was up from $2.5 million in the year-ago quarter. On a geographic basis, we generated 58% of our revenue in the North America during the first [ph] quarter and 42% internationally. Breaking down International revenue a little bit more, Europe generated 16% of our revenue and Japan and Asia-Pac generated 26% of revenue during the quarter. Japan and Asia-Pac continue to be strong markets for us as we won several more large deals during the quarter. From a vertical market perspective, our media business represented 54% of our revenue in the quarter and our enterprise business represented 43% of our revenue, while volume business represented the remaining 3%. Let me now turn to the supplemental metrics we share on a quarterly basis. Our recurring dollar revenue retention rate in the fourth quarter was 87%, which was below our target range of low-to-mid-90s. However, as we noted earlier this year, we're working through a pricing reset and expected our retention rates to be lower this year. We'd a number of these contracts reset during the fourth quarter. We continue to expect that the full impact of the pricing reset will be between $10 million and $13 million, and it will conclude at the end of the first quarter. Our customer count at the end of the fourth quarter was 4,168, of which 2,167 were classified as premium customers. We were pleased with our new customer acquisition activity during the quarter, with a net 54 new customer additions. Looking at ARPU. Within our premium customer base, our annualized revenue per premium customer was $73,000, which was up 3% year-over-year and excludes our entry-level pricing for starter customers, which averaged $5,000 in annualized revenue. Looking at our results on a GAAP basis, gross profit was $23.8 million, operating loss was $1.3 million, and loss per share was $0.04 in the quarter. Turning to our non-GAAP results. Our non-GAAP gross profit in the fourth quarter was $24.5 million compared to $24.8 million in the year-ago period and represented a gross profit margin of 61%. The year-over-year decrease in gross profit was driven by investments in strategic customers made by our professional services team. Subscription and support revenue represented approximately 92% of our total revenue and generated a 68% gross margin in the quarter, up 160 basis points sequentially. Non-GAAP income from operations was $1.3 million in the fourth quarter compared to a loss from operations of $309,000 in the fourth quarter of 2016. Adjusted EBITDA was $2.3 million in the fourth quarter, a significant improvement compared to $800,000 in the year-ago period and well above the high end of our guidance range in the quarter. During the quarter, we recognized $1.2 million of onetime expense benefits that contributed to our strong bottom line performance. This included the reversal of an accrual related to a favorable tax determination in the state of Illinois, as well as lower bonus expense. Even without these onetime benefits, we would have been above the high end of our guidance range. Non-GAAP income per share was $0.04 based on 35.5 million weighted average shares outstanding. This compares to a loss per share of $0.03 on 33.9 million weighted average shares outstanding in the year-ago period. Looking at our full year 2017 results. Total revenue was $155.9 million, up 4% year-over-year. On a GAAP basis, gross profit margin was $91.3 million, operating loss was $19.7 million and loss per share was $0.57 based on 34.4 million weighted average shares outstanding. On a non-GAAP basis, gross profit was $94 million, loss from operations was $9 million and adjusted EBITDA was negative $4.5 million and loss per share was $0.26 based on 34.4 million weighted average shares outstanding. Turning to the balance sheet and cash flow. We ended the quarter with cash and cash equivalents of $26.1 million. During the fourth quarter, we generated $5.2 million in cash flow from operations and free cash flow of $4.2 million. After taking into account $1 million in capital expenditures and capitalized internal-use software. For the full year, we used $6.4 million of cash from operations and $10.6 million of free cash flow after taking into account $4.2 million of capital expenditures and capitalized internal-use software. I'd now like to finish by providing our guidance for the first quarter and full year 2018. For the first quarter, we were targeting revenue of $40 million to $40.5 million, including approximately $3 million of professional services revenue. From a profitability perspective, we expect a non-GAAP operating loss of $1.9 million to [indiscernible] and adjusted EBITDA loss of $800,000 to $1.3 million. Non-GAAP net loss per share is expected to be in a range of $0.06 to $0.08, based on 34.9 million weighted average shares outstanding. Turning to our outlook for the full year 2018. We expect revenue to be in a range of $164 million to $168 million. This includes approximately $11.5 million of professional services revenue for the year. In terms of profitability, we're expecting a non-GAAP operating loss of negative $1.5 million to income of $1.5 million, and adjusted EBITDA $2.5 million to $5.5 million. In addition, we now expect non-GAAP net loss per share of $0.06 to income per share of $0.02 based on 35.2 million weighted average shares outstanding. For cash flow, we expect full year free cash flow to be in a range of $1 million or $3 million. From a bookings perspective, we are targeting another year of double-digit annual bookings growth, which reflects strong performance across business units and geographies. It's important to recognize that our bookings guidance does not include the impact of our growing number of multiyear deals, as well as price escalators dealt into many of these contracts. Bookings are an important part of our growth story. But ultimately, improved retention will be the biggest driver of consistent double-digit revenue growth we are driving towards. With that, I'll now take your questions. Operator, we are ready to begin Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Tom Roderick from Stifel. Please go ahead.
Parker Lane: Hi guys. It's actually Parker Lane in for Tom. Thanks for taking my questions and great quarter. I was just wondering if you could provide an update on the migration of your customer base to Dynamic Delivery. I think you said about 20% last time we spoke. And what kind of value your customers are seeing out of that solution, as well as the level of investment you have to make to complete that process? Thank you.
Andrew Feinberg: Hey Parker, thanks for joining us, and thanks for the question and good to hear from you. We're making progress. We are approaching about half way done, we still have a lot of work to do. But it's proceeding very nicely. Customers are certainly seeing the benefits.
Parker Lane: Thanks. And then, Kevin, on the professional services side, obviously, you're indicating a little bit down on the growth rate there. I was wondering if you can provide a little bit of color as to why that is and whether or not this is just exercising some conservative philosophy here before investing for new customer growth? Thanks.
Kevin Rhodes: Yes, sure. I mean, as we all know, we had some larger service engagements last year related to some of those OTT deployments that we had. Those engagements have largely started to wind down. Of course, we've got a very good pipeline of OTT and SVOD opportunities. But as you can appreciate, those opportunities are a bit lumpy, unpredictable to forecast. And so, at this point, we were a little bit more conservative and what our revenue guide would be until we actually ink those deals.
Parker Lane: Appreciate the color. Thanks guys.
Andrew Feinberg: Thank you.
Operator: Thank you. Our next question comes from the line of Mike Lattimore from Northland Capital Markets. Please go ahead.
Mike Lattimore: Hi, thanks. Nice quarter. Just on the repricing restructuring of the top 100 media customers. Are you sort of 75% all the way through that at this point? And do you expect it to be 100% at the end of the March quarter?
Andrew Feinberg: Hi. Well, thanks for joining us. Yes. As we indicated at the outset, we are on track. We expect to be done with the pricing - media pricing reset for the top customers by the end of Q1. We are right on schedule.
Mike Lattimore: Great. And then from a professional services gross margin standpoint, any general guidance there. Does that kind of improve? Or do you - is that still some investments going on there for the customer?
Andrew Feinberg: Kevin, why don't you take this one?
Kevin Rhodes: Sure. Yes, Mike, we are largely through some investments that we had made there on the services side for some of these large deals. As you can probably appreciate, there is this services component, but then there is also subscription components for those two. And we look at that blended deal of margin as opposed to one or the other. And so, some of these did have investments, strategic investments with these customers on the services side, but overall, we are pleased with the opportunity and the SVOD deals that we have overall. So, I think in terms of like this year, we do think we're going to get back to positive margins in services. We think that we still got a little more investment here in Q1, but not a lot. And then, certainly, less than what we had in Q4 and then should be positive in Q2 and beyond.
Mike Lattimore: Okay. And then, I mean, the guidance implied that you're improving profitability or at least EBITDA throughout the year, is that largely tied to expected revenue growth? Or do you expect to do some additional cost reductions?
Andrew Feinberg: So, it's across the board. All of the elements play in. Certainly, as we described, we're excited about the results that we had in the second half of the year. We feel we have some really good momentum. We are anticipating exiting the year with double-digit revenue growth. And so that certainly plays a significant role. But as I also indicated, we are committed to looking at all aspects of our operating margin. We believe that there are opportunities there to gain efficiencies as we scale and continue to grow. So, it's both sides of the equation and all aspects of it.
Mike Lattimore: Great, thank you.
Andrew Feinberg: Thanks, Mike.
Operator: Thank you. Our next question comes from the line of Sameet Sinha from B. Riley FBR. Please go ahead.
Lee Krowl: Hi, guys. This is Lee Krowl filling in for Sameet. Thanks for taking my questions. First, I just wanted to touch a little more color on the contracts. Definitely a positive sign that customers are signing multiyear deals. But, I guess, generally, longer deals require some sort of concession. So, I was curious, since you did mention there is price ratchet, is there any sort of sweetener or discount you guys offer in the front part of the terms in order to get them to sign these longer-term price ratcheting deals? Any clue there would be helpful.
Andrew Feinberg: Sure. Thanks for joining the call and for the interest and for your question. Each deal is different. We view it as a whole. As a typical measure, we won't be discounting the first year, but we certainly try wherever possible to get as much of a commitment as we can out of the totality of the contract. Yes, probably should share with you, there is a lot of value in these multiyear contracts that go beyond just the commitment. Certainly, the additional year it's help build our backlog, and our backlog did grow year-over-year in excess of 14%, and you'll see that when our case filed in a few days. In addition, having the customers locked in for a longer period of time or I should say committed for a longer period of time, really enables us to focus a number of different things. Number one, we can focus the account management, dynamic in dialogue on ensuring the customer success rather than be caught in an annual cycle of having a renewal negotiation. And that's really valuable. Second, with a longer-term commitment, we're able to really reliably and confidently plan a product road map based upon what that customers' initiatives are. And so those are all really good things for us in helping operate the business.
Lee Krowl: Got it. And then just kind of talking about the enterprise, the mix of enterprise in media customers in your opening remarks you kind of mentioned what I would it take to be primarily enterprise customers. So, as we see growth throughout the year, should we expect more growth from the enterprise side, just given your ongoing traction? Or how do we think about kind of a customer growth in terms of media versus enterprise throughout 2018?
Andrew Feinberg: Sure. So, we look at it holistically, of course, and we are interested in growth across the board. We are very excited about the enterprise phase, and we've had some real success and some excitement about our enterprise offerings. The media business is also growing quite nicely. And so, we've got different areas of the world where different dynamics are playing out in different growth rates. And so, for example, we're seeing wonderful excitement and adoption for our media products in the JPac region. In North America, we're seeing great excitement and a lot of adoption, a new logo adoption in particular on the enterprise side. And so, we're excited about all of it.
Lee Krowl: Okay. And then just the last one for me. You guys mentioned one of the biggest opportunities in terms of cost savings is likely to come from the infrastructure side. Is that to the extent that you guys can talk about it, is it contemplated into guidance that you guys will be driving savings through infrastructure in 2018? Or is there possibility for outside to the current outlook if you guys are able to drive or maybe find more opportunities to cut costs in infrastructure?
Andrew Feinberg: Kevin, I'll let you handle that
Kevin Rhodes: Yes, I think - I mean, our guidance contemplates everything that we can think of and reasonably forecast today. Of course, we'll be looking at areas across the organization and certainly the infrastructure costs or the ability - or the COGS, right, to deliver our service is certainly one of those areas we will continue to focus on and try and drive costs out there and potential margin improvement in the future. So, it's all baked in there.
Andrew Feinberg: We do believe that there are opportunities to exceed and overachieve on our plan, but we have to identify them and do the work. And so, we're not forecasting them yet.
Lee Krowl: Got it. Thanks guys.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Steven Frankel from Dougherty. Please go ahead.
Steven Frankel: Good afternoon. I'd like to dig in a little bit on the recurring dollar retention rate. And I know it's going to bounce around this year or in 2017 because of the media repricing. Maybe could you give me some insight as to whether that was really the primary factor in Q4 that caused it to come in below normal? Or were there also maybe some smaller customers that didn't renew that contributed to that number?
Andrew Feinberg: No. Thanks for the question, Steve. No, the result that you saw was driven by and exactly in line with what we were anticipating due to the pricing reset. That was the fundamental driver.
Steven Frankel: And in the last couple of quarters, it's been a little better than you saw. Was it just a mix of deals? Or was there anything particular about the media deals that repriced in this quarter that led to this result?
Andrew Feinberg: Sure. A couple of different things. Number one, Q4 is one of our largest quarters. In fact, it is our largest quarter, and so more was up for renewal. And so, there was a more pronounced impact and that played an effect here. And yes, each quarter is a different mix of deals because you've got different customers and contracts up. And so, we did a little better than we thought and in some prior quarters. And now we’ve got the full mix in there. And so that's why this is within what we anticipated at the beginning of the year.
Kevin Rhodes: And Steve, I would just add that we did 90% on the full year, 87% not that far off that than it is within the $10 million to $13 million that we originally said.
Steven Frankel: Okay. And were overages within the normal band in Q4?
Kevin Rhodes: Yes, they were, up $2.4 million.
Steven Frankel: Okay. And where are you in transitioning your infrastructure to drive higher gross margins on the services and on the subscription side? Or are you through that transition to the cloud? Or you still have some legacy infrastructure that's coming off?
Andrew Feinberg: So, we still have some legacy infrastructure that's coming off. However, the opportunities that we're looking at are more than simply moving to the cloud. We’re looking at all aspects of the architecture. We're looking at the relationships with our vendors across the board and a number of other elements. It's not simply moving from legacy to cloud.
Kevin Rhodes: Yes, we feel like we're 90-some-odd-percent moved into the cloud at this point, and we've got a couple of legacy data centers that we are working through to get those shut down. But it's the long tail of getting customers off some older technology that we have, that's being supported by those infrastructure - those data centers in which we do that will be fine.
Steven Frankel: And given your media momentum, especially in the far east, what would you say is that the biggest competitive roadblock you run into? Is it still the DIY focus that so many media companies have?
Andrew Feinberg: So, it varies within the sub-geographies and the subregions out there. But, certainly the DIY mentality is something, which is sort of the largest single, I'll call it, competitor that we come up against. We have had more and more success showing the value of not going DIY. And my reference earlier to reaching a critical mass of referenceable deployment is relevant here that's sort of what I'm talking about, being able to show within the region or within the different regions, examples of notable deployments by larger, well-known companies that are successfully outsourcing and doing so efficiently and productively and are very well-done execution presentation is really helping with that.
Steven Frankel: Great. Thank you.
Andrew Feinberg: Thank you.
Operator: Thank you, ladies and gentlemen, we have no further questions in queue at this time. I'd like to turn the floor back over to Mr. Andy Feinberg for closing comments.
Andrew Feinberg: Sure. So, thank you, everybody, for joining and for your interest. We're really proud of the success we had in Q4 and in the second half of the year. We're excited about 2018, and we're looking forward to talking to all of you again soon.
Operator: Thank you, ladies and gentlemen. This does conclude our teleconference for today. You may now disconnect your lines at this time. Thank you for your participation and have a wonderful day.